Operator: Good morning everyone and welcome everyone to the Wright Express Corporation’s First Quarter 2009 Conference Call. (Operator Instructions) At this time for opening remarks and introductions, I would like to turn the call over to Steve Elder, Vice President of Investor Relations. Please go ahead, sir.
Steve Elder: Good morning. With me today is our CEO Michael Dubyak and our CFO Melissa Smith. The financial results press release we issued early this morning is now posted in the Investor Relations section of our website at wrightexpress.com. A copy of the release has also been included as an exhibit in the 8-K we filed with the SEC. We will be discussing a non-GAAP metric, specifically adjusted net income during our call. Please see Exhibit 1 included in the press release for an explanation and reconciliation of adjusted net income to GAAP net income. I would also like to remind you that we will discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors including those discussed in our press release, most recent Form 10-K, and other SEC filings. While we may update forward-looking statements in the future, we disclaim any obligation to do so. You should not rely on these forward-looking statements after today. With that, I will turn the call over to our CEO Mike Dubyak.
Michael Dubyak: Hello everyone and thanks for joining us. This was a very positive quarter for Wright Express with adjusted net income coming in much better than anticipated. We had planned for lower transaction volume and a challenging bad debt environment in Q1 and through the year. When we gave our original guidance we expected a continuation of the trends we were seeing in our business in December ‘08 and January ‘09. Based on the run rates we were seeing at that time, we assumed 45 to 55 basis points of credit loss, along with 10% to 15% lower fueling volume in our installed base. Since mid February, however, we’ve seen a marked improvement in the collections environment. Fleet credit loss came in at 17 basis points, which is back within our historic range and this was the most significant favorable factor in our Q1 results. As we expected we continue to see year-on-year erosion in fleet activity in both the number of active vehicles and transactions per vehicle within our installed base. In Q1 existing customer shielding volume was down about 10% from the first quarter of ’08. Total payment processes in gallons were down 6% from Q1 last year. Looking ahead, we need to see another solid quarter for credit and some improvement in volumes before we can say business trends have bottomed. That being said, we believe that our business model is more resilient and stronger than other companies in our space. This positions us to compete aggressively as we go forward, even if the overall economy remains challenging. Looking at our headline financial results first quarter revenue of $69.2 million exceeded the high end of our guidance range, as did adjusted net income which came in at $0.42 per share. Our revenue for the first quarter exceeded guidance as a result of an increase in late fees, along with slightly higher price of fuel, and better than anticipated pricing results. We continue to look for opportunities to take costs out of the business, but the decline in operating expenses we saw this quarter was largely attributable to lower bad debt expense. Our prior guidance for 2009 assumed a major bad debt each quarter and we did experience a large customer bankruptcy in Q1 in our MasterCard segment. The key upside factor versus our forecast was a favorable trend in the receivable aging. While net charge offs during the quarter were in line with our forecast the receivables aging showed significant and across the board improvement. Some of this was probably due to the economy; however, we believe much of it is also reflective of the impacts of practices we put in place over the past year to minimize bad debt and increases in the late fees we assess. We are maintaining a high level of vigilance in this area and Melissa will provide more detail on credit loss in her remarks. On the front end of the business our fleet sales group started the year very slowly in January, but new business picked up toward the end of February and has improved steadily since then. We are not ready to call this a trend, but our collectors and people in sales are saying essentially the same thing, there is a better tone to the customer interactions and perspective customers are generally more optimistic. That’s very different from what we were hearing back in October, November, December, and January. In addition to the good performance in the customer acquisition we saw the full impact of the federal GSA Fleet portfolio in the quarter. With GSA Fleet on board the average number of vehicles serviced in the mid and large sized fleet market was up 11% from the first quarter of ’08. In small fleets the number of vehicles overall declined 2% year-on-year reflecting the weak economy. Looking at our small fleet results by channel, in the right express direct channel the average vehicle cut was up 1% from Q1 of ’08. In private label the number of small fleet vehicles was down 5% from a year earlier. As a reminder, these comparisons reflect the underlying attrition in our existing customer base partially offset by new vehicles added on the front end. In our heavy truck private carrier fleet segment the vehicle count was also down 2% from the first quarter a year ago. Some of these declines were a consequence of the aggressive credit and collection actions we have taken in this sector. Overall, our average vehicle count was up 6% from the first quarter of ’08. The tougher business environment for fleets has actually strengthened the value proposition we deliver to customers. As a result our attrition rates remain low. Voluntary attrition for the first quarter was 2.6% compared with 1.4% for Q1 last year; although voluntary attrition was up both year-on-year and sequentially it was below our target of3% and similar to our experience prior to the current recession. Our involuntary attrition also tipped up slightly as we became more restrictive with our credit policies for our riskiest customers. Our sales pipelines are strong as we begin the second quarter. We have implemented the new portfolio with Citi which should be fully ramped by the end of the second quarter. Citi will bring two million additional transactions this year and that will impact small fleet sales especially private label. When considering our diversification strategy, in the aggregate our MasterCard, TelaPoint, Pacific Pride, and telematics businesses continue to grow in Q1 compared to the prior year, both in terms of dollars contributed and as a percentage of the overall top line. Purchase volume in our MasterCard was up 23% from the first quarter of 2008 to $649 million. Our travel industry customers continue to grow and exceeded our expectations. In our WEXSmart business activity improved towards the end of the quarter after a slow start to the year. What we’re hearing from the telematics sales group and seeing in increased response rates suggest the trend is improving as we begin the second quarter. Our Pacific Pride and TelaPoint acquisitions performed in line with our expectations this quarter and we’re looking forward to good results from these businesses for the full year. Our new international business is developing well. We are working to forge private label processing relationships with the international oil companies that have moved to managing their fleet card portfolios on a global basis. This is a long-term effort, but we are making nice progress. Overall, we feel very good about the investments we’ve made in diversifying our revenue. These businesses have clearly helped us weather the economic storm this past year by continuing to grow at a time when our fleet customer base activity was contracting. In total, our diversification plays contributed $10.8 million in revenue in the first quarter, up from $8.2 million in Q1 of ’08. This represents 16% of total revenue in the quarter, up from 9% last year and we expect his growth to accelerate as we move through 2009. We’re looking for additional opportunities to diversify our top line and strengthen our business and we’re fortunate to have a strong balance sheet as we do so. Our business model continues to generate significant cash flow which enabled us to pay down $34 million in financing debt this quarter and conclude Q1 with a low leverage ration of one times EBITDA. The Company’s overall liquidity remains excellent and given the economic environment we are still being conservative with our cash: having said that our policy regarding alliances, mergers, and acquisitions has not changed. We are continuing to consider deals that can accelerate our overall growth and/or enhance our strategic position. In fact, we believe that today’s landscape is becoming more favorable for these opportunities. We expect valuations to eventually be more attractive and we are exploring opportunities that would enable us to penetrate adjacent markets, diversify our products, or aid our international strategy. At the time of our last conference call the entire economy seemed to be in jeopardy and the trends in our business were unfavorable and today the environment is still very uncertain. Can we say we’ve seen the bottom in the core fleet business? Our guess is not yet. Our visibility isn’t much better than it was three months ago. Activity levels in our existing customer base fluctuated during the first quarter and turned slightly down again in March when compared to February. We are also beginning to see divergence in customer behavior based on SIC codes for the first time. For example, there has been an increase in activity in public administration which we would expect with all of the federal stimulus money. But, we are also seeing a larger decline in retail, which is in line with lower retail sales around the country. We did not see this type of divergence in activity until Q1 and we are monitoring it closely. Still, our business model is performing well at a very challenging time. We’ve been able to take advantage of our strong competitive position and increase our market share with the GSA and Citi coming on board. Every company in the fleet card business is feeling the impact of existing customers reducing their volume, as well as higher risks on bad debt. But, compared with the rest of the industry we have a unique combination of strengths including front end sales growth, increasingly diversified revenues, low attrition rates overall, strong capital structure, liquidity and cash flow, a promising international business, as well as a lift from our fuel hedge. We look forward to further capitalizing on these advantages as the year unfolds. I will now turn the call over to our CFO Melissa Smith for the financial review and then we’ll take your questions.
Melissa Smith: Good morning everyone. We’re reporting $0.42 of adjusted net income for Q1, clearly a stronger result than our anticipated guidance range of $0.25 to $0.31 of A&I. As Mike mentioned, the quarter was largely in line with our guidance with the exception of our provision for credit losses. In addition, there were some positive revenue variances such as late fees embedded in anticipated pricing results. Operating expenses were lower than our forecast; however, based on our strong financial results for the quarter we did accrue bonuses in excess of our target. The business generated strong cash flow in the first quarter which allowed us to pay down a significant amount of financing debt. This further strengthened an exceptionally strong balance sheet. We feel that we have executed well in a difficult environment, especially in the credit and collections area. We are cautiously optimistic about the change in tone we are hearing from many of our customers; however, we understand that we remain in largely unchartered economic waters and we continue to execute with a degree of conservatism as we progress into the year. I would like to continue with a quick review of our financial metrics and provide additional color on credit losses for the quarter. In addition, I will be providing you with updated guidance for 2009. For the first quarter of 2009 total revenue decreased 26% to $69.2 million from $92.9 million for the first quarter of 2008. Net income to common shareholders on a GAAP basis was $11 million or $0.28 per diluted share. This compares with net income of $14.5 million or $0.36 per diluted share for Q1 last year. The Company’s non-GAAP adjusted net income for the first quarter of 2009 was $16.3 million or $0.42 per diluted share, compared with $17.4 million or $0.44 per diluted share for the first quarter last year. Adjusted net income excludes an unrealized mark-to-market loss on our derivative instruments and the amortization of purchase intangibles. In addition, it also excludes a non-cash asset impairment charge and a small net amount for adjustments to our deferred tax asset and related liability to our former parent company. You will see all of these items on the reconciliation we provided with our press release. Looking specifically at the Fleet segment, total revenue declined by 28% to $62.5 million in Q1 2009. The average number of vehicles serviced in Q1 2009 was approximately $4.7 million compared with $4.5 million a year earlier. Total transactions decline 2% in Q1 2009 to $63.3 million from $64.8 million in the first quarter last year. Q1 reflects a full quarter of GSA and Pacific Pride transactions. Excluding Pacific Pride the total number of transactions was down nearly 8%. With the lower price of fuel and declines in fuel and volume payment processing revenue in our Fleet segment was down 40% to $39 million from $65.1 million in Q1 last year. The number of payment processing transactions was down 7% compared to the first quarter last year. The average expenditure for payment processing transactions for Q! 2008 was down 38% from the first quarter of last year to $40.78 due to the drop in fuel prices. Our net payment-processing rate increased 7 basis points in Q1 2009, from the prior year, to 1.94%. Compared to the fourth quarter our net payment-processing rate was up 8 basis points. As we expected approximately 65% of our transactions in the first quarter were at merchants with hybrid contracts, and we benefited from these arrangements in the first quarter. Similar to last quarter, lower fuel prices drove our payment-processing rate up due to the transaction fees embedded in our hybrid contracts. Rebates as a percentage of fuel and dollars paid to large fleets and leasing companies were up compared to the fourth quarter primarily because of the GSA business. The MasterCard segment contributed $6.6 million in total revenue in Q1 compared with $5.9 million in the first quarter last year, an increase of 12%. Our single use product made up the majority of the spend increase in the quarter. The total purchase volume was $649 million which is up 23% from $526 million in Q1 last year. The net interchange rate in the MasterCard segment was down 6 basis points sequentially. The majority of the decline is tied to a new three-year contract we signed with one of our largest customers. Turning now to operating expenses on a GAAP basis, the total for Q1 was $49.9 million. This compares with $55.9 million in the first quarter last year. We continue to refine our cost structure, and primarily due to lower credit loss, operating expenses came in 11% less than the same period last year. On a total basis, including both Fleet and MasterCard, credit loss was down$6.2 million from Q1 last year to $4.2 million. Over the past couple of months the tone of collection calls with our customers has improved. We hear less and less that they are unable to pay their bill. This is very different from what we were hearing in the later part of 2008. As Mike discussed earlier, our loss rate in the Fleet segment came in significantly better than the 45 to 55 basis points we projected for the full year, at 17 basis points. In addition, the 17 basis points this quarter was below last year Q1 rate of 28 basis points. We use a roll rate methodology to calculate the amount necessary for our reserve balance. This methodology takes into account total receivable balances, recent charge-off experience, and the [Dole’s] letter delinquent to calculate the total reserve. This calculation is further augmented by a detailed review of the portfolio and anticipated charge-offs. The expense we recognized in the quarter is the amount necessary to bring the reserve to its required level after charge-offs. Both total receivable balances and charge-offs were in line for the amounts we expected for the quarter, so they did not have a significant impact in the amount of the reserve necessary; however, we saw a dramatic improvement in the aging of the portfolio, which was the primary driver of the reduced expense compared to our expectations. Once the balance moves into a delinquent category there are only three potential outcomes: It charges off; it continues to age; or it gets collected. The total dollars in our portfolios that were delinquent in Q1 were down more than $11 million or more than 50% from Q4. This is a reflection of our success in collecting older balances across the board. The first question is what we did to see such improvements. In addition to the prevailing economic conditions this quarter, we have been taking a number of measures over time to help mitigate our credit loss. It is not that a single magic bullet has reduced the expense, but a series of actions that have accumulated to make a significant difference. Over the course of the last year these actions included restricting new credit terms for certain industries, shortening payment terms and getting cash security for high-risk customers, and systematically reducing credit lines on thousands of accounts. More recently, we’ve been contacting delinquent customers more frequently partially through the use of collection agencies, and for higher risk customers we’ve been suspending their accounts quicker if they fail to pay an invoice on time. Finally, we increased the late fees charged to delinquent customers to encourage timely payments. As a result of all of these actions, we have seen an up tick in our involuntary attrition rate. This quarter we also benefited from higher recoveries of previously charged off amounts and fewer bankruptcies than we anticipated. The second question to ask is if this will continue. If you look at our entire credit portfolio the fundamentals remain very solid and we are pleased that our overall portfolio score improved during the quarter. We are remaining cautious, however, regarding the near term economic outlook and the continued effects of the economy on our customers. The results this quarter were very positive and we expect the actions we have taken to continue to mitigate losses in the future; however, it is too early to fully project these positive results for the rest of the year. Looking forward, we are adjusting our guidance for the full year 2009 to reflect the up side in credit we experienced in the first quarter and the more positive trends we are beginning to see. We have very limited visibility into how long the recession will last or how deeply it will affect our customers. As the year progresses we will continue to segment the portfolio and make adjustments to our credits and collection practices to try to limit our exposure. Let’s now move on to other key expense lines. Salary and other personnel costs were $17.9 million in the quarter, up approximately $700,000 from last year. This increase was due to an accrual for our short-term incentive program. Payouts under the program are based on financial performance for the year. Our average headcount for Q1 was 708. This is essentially flat compared to last year, even thought the acquisitions of Pacific Pride and FAL added approximately 40 people. We eliminated 12 FDEs since the beginning of January. This is in addition to the positions we eliminated in Q4. We will continue to look at opportunities to streamline the organization through out the year. Moving on, service fees were up in the first quarter by $1.3 million. Approximately $300,000 of this increase is due to additional telematics units sold in the quarter. The remainder is an increase in fees related to our MasterCard program. Occupancy and equipment costs were up by $536,000.00 due primarily to the impairment charge I mentioned earlier, which was $421,000.00 related to internally developed software. Depreciation and amortization expense is up by $754,000.00. Approximately $400,000 of the increase is amortization related to our acquisitions and the remainder is for new assets placed into service. As I mentioned, operating interest expense was a positive factor in the first quarter, declining by $4 million from Q1 a year ago to $4.8 million. Our average operating debt level, including CDs and Fed Funds were $427 million compared to $592 million in Q1 last year. We used CDs issued by our industrial bank to finance our receivables. For the quarter the interest rate on CDs and Fed Fund borrowings was 3.9% which was down from 5% in Q1 last year. Rates on new CDs are currently as low as 70 basis points for three-month maturities. These low rates will average into our overall portfolio as we issue new CDs. We continue to have excellent access for short-term borrowings to fund our receivable balances. Our receivable balances dropped by $9 million in the first quarter and our cash balance dropped approximately $160 million, mainly due to over $200 million of CDs maturing during the first quarter. As a result of the drop in debt levels, our operating interest expense will continue to decline in Q2. Our effective tax rate on a GAAP basis was 36.9% for the quarter, compared with 37.9% for Q1 a year ago. Our adjusted net income tax rate this quarter was 37.8%, compared with 37.5% for Q1 2008. You will also see that we adjusted our estimate of the deferred tax asset and related liability to Avis during the quarter due to state tax changes. The net impact of this was approximately $50,000.00. Let’s turn now to our derivatives program. During the first quarter we recognized a realized cash gain of $7.1 million before taxes on these instruments and an unrealized loss of $6.5 million. Oil prices have remained stable during the first quarter and we have not entered into any additional derivative instruments during the quarter. We concluded the first quarter with a derivative asset of $42.8 million. Our weighted average prices locked in for ’09 are between $2.79 and $2.84. For the portion of 2010 that we have completed hedging, which is approximately 50% of the full year’s target, our price is approximately $3.40. The current market price for 2010 is approximately $2.16. Taking that and blending it into our prices we have already hedged, that would give us an effective price of approximately $2.78 for the year. We targeted hedging 90% of our estimated fuel price related earnings exposure for 2009 and we have partially hedged the first three quarters of 2010 with a target of 80%. We expect that hedging will continue to be important to our business model going forward and we still intend to purchase derivatives in the future. Because of the hybrid contracts we’ve entered into, we have significantly reduced our exposure to fuel price volatility. Our reentry point will be reviewed on a quarterly basis. We have about three years left on a revolving credit facility. We are currently paying a rate of LIBOR plus 58 basis points, which is significantly better than the current market rates. We had approximately $313 million available to us under this agreement as of the end of the quarter. We’ve paid down $34 million in financing debt in Q1, ending the quarter with a balance of $136.6 million. We concluded Q1 with a leverage ratio of approximately 1x EBITDA. This is considerably lower than our target of between 1.5 and 2x EBITDA for the long term. In 2008 our use of cash was pretty equally distributed between paying down debt, share repurchases, acquisitions, and internal reinvestments. As Mike said, we could be approaching a point where the M&A environment looks more favorable. For the near term, however, our leverage will likely remain below our target level and we will maintain our bias towards liquidity. Capital expenditures were $4.3 million for the first quarter, reflecting continued reinvestment in our core product offerings and strategic diversification. For 2009 total CapEx is expected to be between $14 and $17 million. I will conclude with some key assumptions and our updated financial guidance for the second quarter and full year 2009. Our guidance continues to assume a year-on-year decline in transaction volume within our existing customer base of approximately 10% to 15% due to the economic conditions. With the remainder of 2009 we expect we will be operating below the hedge collar; as a consequence, we expect to report realized cash gains this year as opposed to the realized losses we saw for most of 2008. At the same time, we are expecting our credit loss to be in the range of 25 to 35 basis points based on our experience in the first quarter and the recent trends we are seeing. Let me remind you that our forecasts for the second quarter and full year 2009 are valid only as of today and are made on a non-GAAP basis that excludes the impact of non-cash mark-to-market adjustments on our fuel price related derivative instruments, the amortization of purchased intangibles, and adjustments related to the deferred tax asset and tax receivable agreement with our former parent company. Although our share repurchase program remains in place, we have not included any potential EPS up side from this. The fuel price assumptions are based on the applicable NYMEX futures price. For the second quarter of 2009 we expect to report revenues in the range of $66 to $70 million. This is based on an average retail fuel price of $2.14 per gallon. For the full year 2009 we expect revenues ranging from $277 to $287 million based on an average refuel fuel price of $2.10 per gallon. In terms of earnings, for Q2 of 2009 we expect to report adjusted net income in the range of $15 to $17 million, or $0.38 to $0.43 per diluted share. We expect adjusted net income for the full year 2009 in the range of $59 to $67 million, or $1.50 to $1.70 per diluted share on approximately 39 million shares outstanding. With that we will be happy to take your questions. Jackie, you can proceed with G&A now.
Operator: (Operator Instructions) Your first question comes from Tien-Tsin Huang of J.P. Morgan.
Tien-Tsin Huang - J.P. Morgan : I want to ask about the discount rate first. That was higher than we modeled. I heard a little bit of detail there, but was there anything unusual in there? It didn’t sound like anything on the rebate side and I want to understand if this is the right run rate to assume going forward.
Michael Dubyak: I think as we said in the remarks, with the lower fuel price the hybrids helped us. We have negotiated a few new ones, which the hybrids give us relief on the down side, and give the oils some relief on the up side; so some of those kicked in and came in better than we thought. Then, even though we said that rebating was up, based on what we were forecasting it was still slightly below what we had forecast even though we knew the GSA was going to kind of increase it. So, on the rebate side it wasn’t as bad of a quarter as we initially anticipated.
Tien-Tsin Huang - J.P. Morgan : Is there a new sensitivity now that we should consider to the discount given certain changes in spot fuel prices?
Melissa Smith: At $2.00 a $0.10 change in the price of gas is about 2 basis points to the rate.
Tien-Tsin Huang - J.P. Morgan : It is $2.00 I got it. Most of the repricing on the portfolio, the bulk of that is done right?
Michael Dubyak: Do you mean in terms of the merchants?
Tien-Tsin Huang - J.P. Morgan : Yes, going through with the merchants.
Michael Dubyak: Yes. I mean there is always some going on, but I think we had worked with a number of the majors, so I think any changes from this point would not be material to the rate.
Tien-Tsin Huang - J.P. Morgan : Excellent and then just the timing on the Citi conversion and a reminder of the transaction, I think you said $2 million? Also what is the expense impact as we roll into Q2, I just want to make sure we’re modeling that correctly.
Michael Dubyak: Yes, the Citi portfolio, you got it right. It’s $4 million transactions annualized, $2 million transactions is what is in our guidance and forecast for this year. It is about 100,000 cards. It is a funded portfolio, so I think it would be very similar to other funded portfolios that you model today.
Melissa Smith: To answer your question about cost, it will be relatively neutral to the year because we will have some costs in Q2 related to the conversion, a few hundred thousand.
Tien-Tsin Huang - J.P. Morgan : Okay great, thank you.
Operator: Your next question comes from Anurag Rana of KeyBanc Capital Markets.
Anurag Rana - KeyBanc Capital Markets : Mike, I think it is prudent not to call the bottom in your end markets given an uncertain economic outlook, but I am just wondering what made you reduce the credit loss projections by such a large amount. I know the first quarter was exceptionally strong, but what gives you confidence over the next couple of quarters that we will see those losses at such a low number?
Michael Dubyak: I think we are being cautious, but we have worked diligently and consistently over the last year to put in different practices that we think are having a material impact, and it is really showing when you look at the aging buckets and what’s going on with our overall portfolio and how it’s performing. So, we would like to believe that those practices that we’re putting in place and hopefully the little bit of up tick in the economy will all have positive impacts through the year.
Melissa Smith: To get to 25 basis points in the year, that would presume something on the order of 28 basis points for the last three quarters to get to 35, that is closer to 41 basis points. If you look at the overall portfolio, we saw a lot of divergent behavior in Q1. Mike talked about that within certain SIC codes and we saw that also in behavior on the collections side, where we actually saw a little bit of deterioration in January from December, and significant improvements through March. So, when we are looking at forecasting the year we have modeled out a bunch of different scenarios. The delinquencies, I said in my prepared remarks, reduced 50% from the fourth quarter of last year to the first quarter of this year that helped get us to the 17 basis points. We’ve got that pick up based on the behavior in the aging. And, when we put together our guidance assumptions for the rest of the year we presumed that the credit quality would stay pretty consistent with the average of Q1, but we wouldn’t see a similar swing in improvement in other quarters.
Anurag Rana - KeyBanc Capital Markets : That’s very encouraging. Also, I remember back in fourth quarter of ’07 I think you were one of the first few companies that actually talked about a slow down in transaction growth rate. Are there any signs of improvement in any SIC codes that you see in your end markets that are showing any signs of improvement?
Michael Dubyak: I think the one we mentioned. We watch it closely. A thing like public administration is one, which I said on the call, is probably pretty natural knowing the stimulus. We’ve seen a little bit of, at least, as some have increased some have either stayed neutral or gotten slightly better like the wholesale trade has gotten slightly better. I would say most in the first quarter were trending low in terms of still contracting, but there were a few bright spots, but not many.
Anurag Rana - KeyBanc Capital Markets : In those that were contracting, were the rates of decline relatively the same as you saw in several previous quarters, or did you see any improvement in the rates of decline?
Michael Dubyak: No, I think a few even probably escalated a little bit as well.
Anurag Rana - KeyBanc Capital Markets : Okay, thank you so much.
Operator: Your next question comes from Robert Dodd of Morgan Keegan.
Robert Dodd - Morgan Keegan : The account service revenues were up substantially more than vehicles serviced. Have you taken any price increases or is there some mechanic going on in Q1 in that line up?
Melissa Smith: Yes, that is largely the addition of [FAL], so the international revenue that we’re booking right now is going into account servicing revenue.
Robert Dodd - Morgan Keegan : Then just on collections to come back, I mean can you give us any color on a distinction between how your small customers are doing versus some of your larger customers? I am trying to get a feel, sometimes we see pick-ups in collections in Q1 because of tax rebates etc…Perhaps, I am trying to get any color there. Maybe that has been a factor or not given maybe people have been getting bigger rebates because their fourth quarter and their estimated tax payments were less. I mean, have you got any color on that kind of thing?
Melissa Smith: Yes, actually we’ve segmented delinquencies based on geographic region, SIC code, and also by size. There hasn’t been a significant change between sizes. It is up across the board. It looks better if you’re a small business and it also looks better if you’re a large business.
Robert Dodd - Morgan Keegan : Has the improvement been more than you would expect in kind of the SIC codes that had the worst fourth quarter or has there been anything additionally counter intuitive like that?
Melissa Smith: Some of the areas from an SIC code perspective, I don’t know if I would say it’s counter intuitive, but to give you a little bit more color, the delinquencies for heavy trucks for example seemed to peak in November of last year and they’ve gotten better progressively. If you look at most geographic regions are improving, including commercial constructions. It starts to get a little bit more fragmented based on region, but commercial construction overall is performing better than it was. The areas that we have seen further deterioration have been what we are calling in the new stages of construction, so things like poured concrete, site construction, masonry. They are smaller parts of our portfolio, but those are areas that we’ve seen erosion from a delinquency standpoint.
Robert Dodd - Morgan Keegan : Okay thank you that is very helpful.
Operator: Your next question comes from Tom McCrohan of Janney Montgomery Scott.
Tom McCrohan - Janney Montgomery Scott: I have a question on seasonality. Is Q1 typically is a seasonally weak quarter in regards to payment processing transactions?
Melissa Smith: There are less business days in general, so we see a little bit less volume in Q1.
Tom McCrohan - Janney Montgomery Scott: And as far as how it stays the rest of the year, are Q2 and Q3 typically stronger from a seasonality point of view? [Inaudible] days in the quarter, I don’t know if it’s weather related, but I am just looking at the history here as far as how transactions have trended and I always seems like Q1 was weak and the middle of the year Q2, Q3 usually look a little better.
Melissa Smith: Yes, that’s true and then Q4 gets impacted also by holidays, and it is a little bit more sensitive depending on when the holidays fall in the fourth quarter. But, Q1 is most impacted and we think particularly this year, even more so, because of when the holidays actually fell in the quarter.
Tom McCrohan - Janney Montgomery Scott: Yes, okay that’s helpful. Do you have any comments on the competitive landscape? You were saying it is softening somewhat. Are you gaining share from any of the competitors? Do you have any commentary on that?
Michael Dubyak: Well I think as we said, we know that the GSA came from a competitor. We feel very comfortable that we’re competing aggressively and winning market share. I would say that because of the economy most of our competitors are more rational today in terms of what they’re doing in the marketplace and so we believe that helps us with the different services and the functionality that we can supply to our fleets. We feel very good that under these circumstances we see good pipelines and we feel we’re taking market share in the large end of the market, the mid size market. The low end of the market is where we’ve been struggling, just because I think that has had the highest attrition either on involuntary or voluntary attrition. But, still that is an open market to some extent.
Tom McCrohan - Janney Montgomery Scott: Okay. Given the comments regarding potential M&A down the road, how much leverage are you comfortable with as a management team in the event you did pursue a large M&A transaction, recognizing that today you are arguably operating with leverage levels below what your cash flow and balance sheet could support?
Melissa Smith: That is a tough question. It is going to depend a lot on the type of acquisition, the type of cash flow, the debts also throwing off the predictability of the cash flow stream from the acquisition target. When we went public we were at 3x EBITDA. We have managed pretty well in that environment and we didn’t have an issue paying down our debt. So, I guess the underlying presumption we could probably handle something similar to that, but it is going to depend a lot on what the target is.
Michael Dubyak: I would say this, if you’re talking something of size, because there could be tuck ins, there could be smaller ones that could help accelerate our growth, diversify our growth, but if you’re talking larger ones, it’s probably not something that’s going to be imminent. As we said, we’re watching the market. We’re making sure we understand what the opportunities are in the market, but I don’t think that would be something that would be imminent for right express at this point, on a larger acquisition.
Melissa Smith:  Also, market availability is different now than it has been the last few years, so that would have to factor in to the analysis as well.
Tom McCrohan - Janney Montgomery Scott:  Okay, that all makes sense. On the credit side, you mentioned there was a large client of MasterCard that went bankrupt. Can you give us the gross charge-off related to that?
Melissa Smith: It’s about $300,000.00, a little over $300,000.
Tom McCrohan - Janney Montgomery Scott: Is it possible to give us kind of the gross charge-off and gross recovery for the quarter?
Melissa Smith: I just have the net numbers in front of me.
Tom McCrohan - Janney Montgomery Scott: So was the net like $12, $12.5 of that?
Melissa Smith: The net excluding MasterCard is $10.7.
Tom McCrohan - Janney Montgomery Scott: Okay, so just looking at the fleet business, the charge-off trends in fleet sequentially they got a little better, is that fair to say?
Melissa Smith: Yes, the charge-off trends got better, but the aging, the amount in peoples that rolled into delinquent categories is significantly better.
Tom McCrohan - Janney Montgomery Scott: Yes, definitely I heard that loud and clear. That was really the up side surprise here. That is really quite a dramatic improvement. It sounds like given the position you were in, in Q1 with what was going on in the business and you had that bankruptcy in Q4 and volumes kind of really declining substantially in the holiday period through January, it sounds like you want to be really conservative on it when you provided financial guidance this year. Is that fair to say?
Melissa Smith: I think if you look at even the trends we were seeing through January on credit loss were negative to December. So we saw some marked improvement even between January and March.
Tom McCrohan - Janney Montgomery Scott: Well great. Thank you very much for taking the questions.
Operator: Your next question comes from Bob Napoli of Piper Jaffray & Co.
Bob Napoli - Piper Jaffray & Co.: On the consumer side of the business you see a significant amount of seasonality on credit with improvement in the first quarter and I would imagine that your small portfolio might see some of that. But, historically have you seen delinquencies? I understand you guys have done massive changes to improve credit, that you went through very well, but is seasonality the sum of it?
Melissa Smith: We have seen seasonality decline a little bit in the fourth quarter historically. We haven’t seen the pick up. I am answering a little bit off the cuff here, but I don’t remember in a period before seeing the pick up that we experienced in the first quarter. I am looking back even compared to last year in the first quarter. Our aging itself is looking still very strong.
Bob Napoli - Piper Jaffray & Co.: Okay and then if I look at your guidance is it fair to say that you’re expecting some from the first quarter trends further deterioration, if you will, on your transactions down 10% to15%; It seems like you’re looking for further deterioration on that front and some worsening of credit from the first quarter.
Melissa Smith: Let me answer the credit piece first. In the first quarter part of the 17 basis points was a pick up where the aging improved. So, we are not presuming that you’re going to get another pick up like that where the aging gets better. We’re presuming that it’s relatively consistent with the overall credit quality in Q1 and deteriorating a little bit in the fourth quarter, like we have seen in the past.
Michael Dubyak: But on the transaction side it is the existing customer base that we’re focusing on where the contraction takes place and we saw basically around 10% in the first quarter and we’re pretty much modeling that through out the year. “We’re going to get the impact of increase of the Citi portfolio coming on. We have the impact of the full GSA this year. We’ll have new business coming on, and our attrition rates, we assume, will remain low. But, in the existing customer base we’re keeping it pretty much at that 10% range.
Melissa Smith: The range of 10% to 15% we’re including in our guidance. If you look at the trend we’ve seen sequentially from Q4 to Q1, we have seen a higher level of erosion in that customer base. We had 4% negative volume from existing customers in Q4 and that went up to 10% in Q1 and in March it was higher than that average of 10%.
Bob Napoli - Piper Jaffray & Co.: Okay. The FAL, the international business, is that progressing better than expected, or are you a little bit behind plan? I know you talked you are very happy with it, but if you could give us a little more color.
Michael Dubyak: First of all, we have been consistent in saying we are going after initially processing for international managed oil company portfolios. We are looking to host the FAL software in Europe, so I think that’s a positive sign. We haven’t finalized that yet, but that’s hopefully something we’ll be doing this year. We feel good with the traction and the response we’ve had in the marketplace, but you really won’t see anything material. There will be a lot of development and a lot of work done, but it will probably be 2011 and beyond before it becomes material to us.
Bob Napoli - Piper Jaffray & Co.: Okay and you talked a little bit more about transactions. What areas in particular do you have interest in? Are you interested in making additional tack on international acquisitions, or within the U.S.? What areas in particular would you like to beef up?
Michael Dubyak: It is pretty consistent with what we’ve said. I mean, international would be one. What can we do to make what we’re doing even more powerful, so that is something we’ll continue to look at. Are there contiguous markets that can just expand us with kind of our core, but in to different markets around us? Then are there diversified and growth opportunities that we can look at different products to become more of an aggregator of data, more of a supplier of information services or other services to our core fleet business.
Bob Napoli - Piper Jaffray & Co.: Have the pipeline of opportunities out there increased?
Michael Dubyak: What we tried to do during this period, knowing we were not going to pull triggers until we saw a little bit of better stability in the overall economy, is we have been lining up priorities, and if anything we have been narrowing. We have done some homework. We have talked to people and in those different categories we are looking at anything from alliances to potential acquisitions and lined up our priorities. So, I can’t say there is more, because I think we have said to ourselves, which ones we would want that would make sense for us in some of the categories I talked about.
Operator: Your next question comes from Paul Bartolai of PB Investment Research.
Paul Bartolai - PB Investment Research: My first question is on the credit losses. With the benefit in Q1 it looks like it was $9 or $10 million and for the year it looks like it’s about $20 million. If you run that through the model it looks like that benefit is bigger than the increase in guidance. So, I am just wondering if there are some off sets that you’re expecting from that. I don’t know if it is maybe the slightly weaker transaction go through you are seeing, but I am just wondering if you can reconcile that for us.
Melissa Smith: Yes. We changed the range of our guidance on credit loss about 20 basis points, which would be closer to $0.25 of A&I EPS. The largest off set is, as I talked about in the first quarter, where we’re performing better than our target on our bonus plan; so we’re going to be ratcheting that up if we hit this level of credit performance. That is the largest thing. We are also looking at areas to reinvest in the business right now, increasing a little bit of our R&D and potentially our international investments.
Paul Bartolai - PB Investment Research: Okay and if you look at the revenues from 1Q to 2Q, kind of the mid point of the guidance assumes about flat, but, due to the higher gas prices. What is offsetting that? Are you assuming kind of the finance fees, with the higher late fees, and that kind of ticks down given what’s happening with the credit portfolio? Or are there some other off sets there?
Melissa Smith: Yes. What we’re seeing is a change in customer behavior; so we are expecting to see the benefit we received in late fees to tail off in the second quarter.
Paul Bartolai - PB Investment Research: Okay, great. Thank you.
Operator: Your next question comes from Bob Napoli from Piper Jaffray & Co.
Bob Napoli - Piper Jaffray & Co.: The credit line, how long of a life do you have left on the credit line at that rate?
Melissa Smith: We have three years.
Bob Napoli - Piper Jaffray & Co.: Then the hybrid, 65% hybrid contracts right now, do you expect that to go much higher?
Michael Dubyak: We have no plans. It is not like we have a strategy, but there is nothing that is saying that should increase in the future. But, if we needed to and it made sense, we would consider it, but there is nothing imminent that is going to change that.
Bob Napoli - Piper Jaffray & Co.: Your hedging strategy, you want to hedge closer to the time period of the hedge. Can you give a little more color on the hedge strategy?
Michael Dubyak: Yes. We definitely will continue our hedge strategy. That is our plans, as we said. We will look at it quarter-to-quarter. Knowing prices are low right now. We try to give some flavor that even if we were to look at next years prices, if you will, on the outward curve, it would be somewhere in the range of 216. I guess our view is that we feel that we have time to wait and see if that will improve. It the economy improves. We just think we still have the opportunity to still wait, but we’ll look at it quarter by quarter and see what makes sense.
Bob Napoli - Piper Jaffray & Co.: Great thank you.
Operator: Your next question comes from Tom McCrohan of Janney Montgomery Scott.
Tom McCrohan - Janney Montgomery Scott: Melissa, I have a follow up on the aging, given that you saw marked improvement there and that was primarily the driver behind the guidance going up and the credit loss going down. Can you give us any metric; I don’t know how you age your accounts. I don’t know if you do it by number of accounts or dollar amounts, probably by dollars. Of say 30 days past due, how the dollar amounts 30 days past due how they migrated during the quarter or any other specific metric you’ve looked at that supports your comments around the marked improvement?
Melissa Smith: Actually, the aging itself is a little over 98% current. Some of the benefit we received from Q4 to Q1 is because of higher fuel prices in some of the older aging buckets and that was something we knew would happen. So, if you look at the amounts that are delinquent, I said that it reduced by $11 million or about 50%. If you index out fuel prices and just look at it on a gallons basis, all of the items that were delinquent dropped 30% from Q4 from Q1.
Tom McCrohan - Janney Montgomery Scott: Wow that is pretty significant. Now when you say 90% current, 98% of dollars, of number of accounts?
Melissa Smith: I mean dollars.
Tom McCrohan - Janney Montgomery Scott: You mean dollars. Thanks.
Operator: There are not further questions at this time. I would like to hand the call back over to management for any closing comments.
Steve Elder: Thank you every one for listening and we look forward to talking to you again next quarter.
Operator: This concludes today’s teleconference. Thank you for your participation.